Operator: Greetings, and welcome to Postal Realty Trust's Fourth Quarter 2023 Earnings Call. At this time, all participants are in a listen only mode. A question-and-answer session will follow the prepared remarks. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Jordan Cooper, Senior Vice President of FP&A Capital. Welcome, Jordan.
Jordan Cooperstein: Thank you and good morning, everyone. Welcome to Postal Realty Trust fourth quarter 2023 earnings conference call. On the call with me today we have Andrew Spodek, Chief Executive Officer; Jeremy Garber, President; Robert Klein, Chief Financial Officer; and Matt Brandwein, Chief Accounting Officer. Please note the company may use forward-looking statements on this conference call, which are statements that are not historical facts and are considered forward looking. These forward-looking statements are covered by the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of risks and factors that are beyond the company's control, including but not limited to, those contained in the company's latest 10-K and its other Securities and Exchange Commission filings. The company does not assume and specifically disclaims any obligations to update any forward-looking statements, whether as a result of new information, future events, or otherwise. Additionally, on this conference call, the company may refer to certain non-GAAP financial measures, such as funds from operations, adjusted funds from operations, adjusted EBITDA, and net debt. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP measures in the company's earnings release and supplemental materials. With that, I will now turn the call over to Andrew Spodek, Chief Executive Officer of Postal Realty Trust.
Andrew Spodek: Good morning and thanks for joining us today. The fourth quarter marked another period of strong results and concluded a productive year for Postal Realty. We acquired 223 properties for $78 million and came in well above the midpoint of our target weighted average cap rate range at 7.7% for both the fourth quarter and the full year 2023. The weighted average cap rate for 2023 reflects an almost 100 basis point increase from 2022's cap rate. As a result of the flow-through benefit of acquisitions and lease renewals in prior years as well as efficient operations, AFFO per share increased 6% year-over-year. This was due to the hard work of our dedicated team and is a testament to our ability to be flexible and patient while navigating a challenging interest rate environment. Turning the focus to our capital markets activity during the past year, we were successful in accessing equity through our ATM program and by completing transactions with operating partnership units while also accessing debt through our strong banking relationships. We have significant availability on our revolving credit facility and have maintained conservative leverage with the net debt to annualized adjusted EBITDA at 5.6 times at the end of 2023. Looking at 2024, we have a long runway and are still seeing significant opportunities. Absent changes to the current macroeconomic environment and the capital markets, we anticipate a similar year to 2023 with acquisition volume in the neighborhood of $80 million. We will continue to target a going-in weighted average cap rate at or above 7.5%, and we'll provide further updates as the year progresses. With no near-term debt maturities, a solid balance sheet, and high collections and retention rates, we are confident in the fundamentals of our business. I'll now turn the call over to Jeremy.
Jeremy Garber: Thank you, Andrew. In the fourth quarter of 2023, we acquired 75 properties, which added approximately 153,000 net leasable interior square feet to our portfolio, inclusive of 71,000 square feet from 55 last mile post offices and 82,000 square feet from 20 flex properties The fourth quarter brought our 2023 acquisition total to 223 properties. Subsequent to quarter end and through February 23, the company acquired 8 properties for $4.5 million and placed an additional 20 properties totaling $13.9 million under definitive contracts. We have maintained a 99% historical weighted average lease retention rate over the past 10 plus years, reflecting the strategic importance of these properties to both the Postal Service and the communities they serve. As we have previously shared, our lease negotiations with the Postal Service are progressing, and we are hoping to receive 2022 leases over the coming months. I'll now turn the call over to Rob to discuss our fourth quarter financial results.
Robert Klein: Thank you, Jeremy, and thank you, everyone, for joining us on today's call. We are pleased to discuss our fourth quarter financial results. Funds from operations or FFO was $0.24 per diluted share and adjusted funds from operation or AFFO was $0.26 per diluted share. We've continued to manage our balance sheet prudently by maintaining low leverage and minimizing our exposure to variable rate debt. At the end of the fourth quarter, our debt outstanding at a weighted average interest rate of 4.14%, a weighted average maturity of four years and no significant debt maturities until 2027. As of February 23, 2024, our $150 million senior unsecured revolving credit facility had $142 million undrawn and 97% of all borrowings were sent to fixed rates. Net debt to annualized adjusted EBITDA ratio was 5.6 times at the end of the year, well within our target of remaining below 7 times. Recurring CapEx for the fourth quarter was $211,000 as we completed additional projects prior to yearend. Looking forward to Q1 2024, we anticipate the figure to be between $125,000 and $175,000 depending on timing of projects. Cash G&A expense came in at the bottom of our stated range for the fourth quarter and the full year 2023 due to cost savings and efficiencies achieved throughout the year. As a percentage of revenue, it declined on an annual basis for the full year 2023, and we anticipate this continuing in 2024. As for Q1 2024, we expect cash G&A to be between $2.1 million and $2.3 million. Our Board of Directors approved a quarterly dividend of $0.24 per share, representing a 1.1% increase from the Q4 2022 dividend. Our business provides investors with stable cash flows each quarter. We continue to execute on our strategy, exhibiting patience with acquisitions and prudence in the capital markets, which should reassure investors that our business will continue to thrive across all economic cycles. This concludes our prepared remarks. Operator, we'd like to open the call for questions.
Operator: [Operator Instructions]. The first question comes from the line of Steve Dumanski with Janney Montgomery Scott.
Steve Dumanski: Thank you. Can you please talk about the difference between rental rate increases you're seeing going on recent acquisitions when they come up for renewal versus properties that you have owned for several years? Also, are you still getting a noticeable bump in your first lease renegotiation with the USPS on newly acquired assets or has that gap closed in the last couple of years?
Andrew Spodek: So we typically get a better bump in rental rates when we are negotiating a lease for the first time. Our second bite at the apple is typically smaller, but we're still getting good rent increases and we're marketing these leases to market. In the current environment, we're very happy to have five-year leases that we can mark to market as quickly as possible.
Steve Dumanski: Thank you. Can you also please expand on the going-in cap rate differential today between last mile and flex acquisitions?
Andrew Spodek: Sure. So the reason why we've always stated that we buy things within a large range is because not just the different asset classes for last mile flex and industrial properties, but also the geographies and the individual markets that they serve. Every asset kind of speaks for itself and every market speaks for itself. And so the cap rates while logically would be higher for last mile than they would be for flex, it really is more driven by what the underlying rent is and use for the property in that particular market for that particular deal.
Steve Dumanski: Thank you. And just one last one. In terms of sourcing acquisitions, do you project to transact on more industrial opportunities for the new year?
Andrew Spodek: I would like to, but it's really a question of the accretion of those assets. We've seen the industrial assets get very expensive over the past couple of years. And so unless the cap rates for those assets rise, those are not assets that we're very focused on. And the flex and last-mile buildings are really the bread and butter of the business.
Operator: The next question comes from the line of Barry Oxford with Colliers.
Barry Oxford: Hey, guys. How are you doing? Just to build on the acquisition, you guys kind of indicated around $80 million for '24. Andrew, what type of -- what would you need to see in the environment today to maybe move that to $150 million? What would it take, would it be a downward move in the 10-year? I mean, what would cause you guys to do $150 million in '24?
Andrew Spodek: Hey, Barry. So there's a lot of opportunity there. We're still seeing a lot of deals, the problem is we're not necessarily happy with the pricing. And so either our cost of capital needs to come down or seller's expectation of pricing needs to be adjusted. We want to and we will continue to buy accretively, and that's really what drives our pipeline. And so unless something changes in either one of those two fronts, we're going to continue to buy the way we are, and we're going to be patient and wait for the opportunities to present themselves.
Barry Oxford: Great. Now, that absolutely makes sense. And then on the new leases that you're signing with the post office, are they giving any pushback or have you guys kind of settled in on the new terms and the rate and everything and it's moving smoothly?
Jeremy Garber: Yes. Hi, Barry, this is Jeremy. So as you can imagine, the growth of our portfolio over the past five years, both postal and USPS recognized that we needed to come to a better process, a more efficient process given the volume of leases that we need to negotiate on an annual basis. That process is still going on and we're making great progress. We're confident that we're going to achieve a successful result for the and beyond.
Operator: The next question comes from the line of Ki Bin Kim with Truist Securities.
Ki Bin Kim: Hi, good morning. Can you guys remind us what your long-term lease renewal rate ranges were? And given the more inflationary period that we just went through, if you think as you're negotiating renewals, are you getting the benefit of the inflationary environment?
Andrew Spodek: So I didn't really understand the first part of the question. When you say long-term lease renewal rates, what -- can you be more specific?
Ki Bin Kim: Yes, I thought, I might be getting it wrong, but I thought your kind of stated lease renewal rate were 15% to 20%. I was just curious if it's -- where it's been landing within that range.
Andrew Spodek: You're asking for rent increases on the renewals, now, I understand.
Ki Bin Kim: Yes.
Andrew Spodek: So what we've been stating -- what we reported was a same-store of 2.2%, and once we complete the , we'll update that number going forward. In terms of inflation and annual escalations, we're still dealing with an increase in cost to operate the properties, and we're hoping that going forward, we'll be able to get a escalation on our leases, but we haven't finalized our negotiations. It's all very fluid, but we hope to update you in the coming months.
Ki Bin Kim: Okay. And in terms of G&A, looking ahead, like to what pace should G&A increase looking ahead and if there are any atypical expenses to be aware of coming up?
Robert Klein: Yes, thanks, this is Rob. There are no atypical expenses that we anticipate this year. And we believe that we're slowing the growth of G&A, and that's reflected in the ratio. We keep quoting of cash G&A as a percentage of revenue coming down year over year. We gave the guidance for Q1, which you'll find is quite similar to Q4. So we're very on top of it. We're very cognizant of our expenses and we're committed to slowing that growth.
Operator: The next question comes from the line of John Kim with BMO Capital Markets.
John Kim: Thank you. Looking at your '24 expirations, it looks like leases in holdover were at 91 leases, and that's up from 88 that were scheduled to expire as of third quarter. So I'm just wondering what drove that increase sequentially.
Jeremy Garber: Sure. So you're correct. There were 88 leases from the 2023 vintage. The additional 3 leases are '24 leases that have now rolled and have not been renewed as of yet.
John Kim: Okay. And what's the annual rents of those 91 leases?
Jeremy Garber: The annual rent is approximately $4 million.
John Kim: Okay. I understand that you don't provide guidance necessarily, but you did increase the dividend by 1%. Is that a good indication of where you think earnings will grow next year or this year?
Jeremy Garber: No. So I think while the two go slightly hand-in-hand in terms of -- as we grow earnings, we believe we can increase the dividend. I don't think the rates will be the same, and our Board does review this on an annual basis. And that is absolutely one of the components we've look at, at the earnings growth, but the two are not completely tied together, and we are also I've committed to be lowering that payout ratio over time as we grow our earnings.
John Kim: Final question is on acquisitions. This year you have $80 million as guidance. Just wanted to ask about the timing. Do you think this will be weighted towards any particular quarter or will be spread out evenly?
Andrew Spodek: It's difficult to tell so early in the year. In general, just given the way we saw last year play out, I would say there's probably a slightly heavier weighting towards the end of the year, but I don't think it will be drastic.
Operator: The next question comes from the line of Jon Petersen with Jefferies.
Jon Petersen: Great, thanks. Good morning, guys. On the -- curious on the industrial leases and there's only five of them, I think it's roughly 10% of your revenue, can you remind us, are those kind of typical industrial lease structures or are those more flat lease rent structures like the post offices? Most of the post offices are where before your new lease contract?
Andrew Spodek: Yes, those are more typical for postal leases than industrial leases, but one of them does have a CAM reimbursement that is structured more like a typical industrial lease.
Jon Petersen: Got you. Okay. And then do any of that -- do you have any lease maturities on those five properties in the next year or two that we should be aware of that might move, swing revenue more materially one way or the other?
Andrew Spodek: Yes, we do have some lease rolls in the next couple of years. Our two Topeka properties will be rolling and we're hoping to mark those to market and that's going to be good roll for us, and I think we have another property as well. But nothing that is terribly significant in terms of change in our -- in what I mean what we've spoken to.
Operator: [Operator Instructions]. There are no further questions at this time. I would now like to turn the floor over to Andrew Spodek for closing comments.
Andrew Spodek: On behalf of the entire team, I want to thank you for your continued support and taken the time to join us today. We look forward to connecting with you all over the coming months. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.